Operator: Good morning, everyone, and thank you for participating in today's Conference Call to discuss MiX Telematics Financial Results for the Second Quarter of Fiscal 2024 ended September 30, 2023. Joining us today are MiX Telematics President and CEO, Stefan Joselowitz; and the company's CFO, Paul Dell. Following their remarks, we'll open the call for any questions you may have. Please note, this event is being recorded. I'd now like to turn the conference over to Mick Telematics' Chief Financial Officer, Paul Dell, as he reads the company's safe harbor statement regarding forward-looking statements. Paul, please go ahead.
Paul Dell: Thank you, and good morning, everyone. Before we continue, I'd like to remind all participants that during today's call, we will make certain forward-looking statements related to our business, which are subject to material risks and uncertainties that could cause our actual results to differ materially. For a discussion of the material risks and other important factors that could affect our results, please refer to those contained in our Form 10-K and other SEC filings, all of which available on the Investor Relations section of our website. We will also be referring to certain non-GAAP financial measures. There is a reconciliation schedule detailing these results currently available in our press release which is located on our website and filed with the SEC. With that, I would like to turn the call over to MiX Telematics' President and CEO, Stefan Joselowitz., Jos?
Stefan Joselowitz: Thank you, Paul, and good morning, everyone. It's been an exciting few weeks since we announced our proposed business combination with Powerfleet. This merger of equals will result in one of the largest global providers of connected vehicle SaaS solutions, and I firmly believe that this is the ideal path forward for our organization and shareholders. In addition to the benefits of a direct NASDAQ listing, which will provide us with significantly increased market exposure and an expanded investor base, the combined entity is expected to unlock further shareholder value through synergistic activities and leveraging our combined best-in-class SaaS solutions to further capitalize on the significant global market opportunity. I'll dive into more details regarding the transaction a bit later, but let's first review our performance during the second quarter of fiscal 2024. We delivered another strong order with record subscriber growth, increased profitability and solid free cash flow. With the macro environment remaining uncertain and volatility persisting across many of our markets, our model continues to be resilient, and our balance sheet remains a strategic aspect. We continued to accelerate subscriber growth, adding a record 47,400 subscribers in the quarter, and we expect this trend to continue. Subscription revenue of $32.4 million, which represents 86% of total rent, increased 10% year-over-year on a constant currency basis, and I'm pleased to report that our adjusted EBITDA margin expanded by 550 basis points from a year ago. We generated free cash flow of $2.1 million in the quarter, and we anticipate our performance in this regard remained positive through the remainder of our fiscal year and beyond. Our solutions are at the forefront of helping customers address multiple key business issues, including improving safety, energy and cost efficiency and monitoring of ESG initiatives. We continue to see growing global demand for investment into our premium fleet solutions and accelerated demand for our integrated AI video platform from both new and existing customers. We also expect the future combination with Powerfleet's product suite to significantly increase our ability to compete with and acquire new customers in our regions and expand service revenue within our existing customers. In terms of notable wins and call-outs from the quarter, Africa continues to be our strongest performer with broad-based sector growth and increasing momentum in the light fleet market. We added some exciting new customer programs that bolstered new subscriber acquisition in Europe, LatAm and Australia. We also continued to acquire new customers in the US and increased our momentum with the onboarding of the nationwide fast food company we discussed in recent calls. Whilst the quarter yielded many positives, we were disappointed to receive notification from an energy sector customer that they would not be renewing their contract, which comes to an end in December this year. On the technology front, we are on track migration and integration of the Trimble FSM customers to the mix platform. We should soon be able to leverage the new features and enhancements from this project to enter the construction vertical and other geographies and expand our offerings to existing mix customers. During the quarter, we released further enhancements to our AI via telematics offering as well as our data insights and visualization platform. Furthermore, our teams continue to deliver on strategic initiatives that are expected to bolster new customer acquisition in the short term. Now let's talk more about the proposed business combination with Powerfleet, as I have referenced on prior calls, we've had a dedicated team searching for accretive M&A opportunities over the past year. After evaluating a number of strategic opportunities, we strongly believe that Powerfleet Unity strategy and our combined scale perfectly positions us to transform the connected fleet SaaS industry and drive growth globally. On closing, the combined business will have a starting base of more than 1.7 million subscribers with the ability to cross-sell and upsell additive software solutions to a truly global set of customers. The combined R&D capabilities will accelerate our AI advancement and data integration capabilities. I'll let Paul walk through the details of the transactions, but we believe that joining forces with Powerfleet will dramatically accelerate our time line towards stronger growth and scale in the United States and other key geographies while also providing our combined and loyal customer base with increased value through a wider product offering. Organizationally, we see a symbiotic culture. Each organization has a high net employee retention rate with motivated, energized and deeply experienced teams. These are all key ingredients for ensuring customer satisfaction. We both acquire -- on placing best-in-class customer experience at the heart of our approach and our unification will be founded on not only maintaining but also continuing to advance our customer experience. We will also be very focused on optimizing systems and processes. We expect to reach the best of both businesses to combine and accelerate operational efficiencies. After an extensive due diligence period and digging even deeper into PowerFleet's operations over the past few months, we are confident this will be a smooth and efficient integration process. The combined management structure, which will see our talented and experienced mix executives playing profile roles will be led by PowerFleet's CEO, Steve Towe; and CFO, David Wilson. As stated previously, I intend to retire at the conclusion of this transaction, and plan to continue as a long-term shareholder of PowerFleet's. I am impressed by what Steve has accomplished at PowerFleet since he took the helm in January of 2022 and I would like to reiterate that he has a proven track record of delivering exceptional results for customers, employees, and shareholders. His core skill sets are focused around building world-class organizations, driving innovative go-to-market product strategies, and successfully integrating accretive acquisitions. Overall, I am very confident that this is a great opportunity for both organizations to succeed and thrive in today's rapidly-evolving marketplace. Scale is critical. We believe doing something this transformative gets us to the necessary scale very quickly and puts us in an excellent position to continue growing market share, while unlocking value for shareholders. Before I hand over to Paul, I would like to remind everyone that we are scheduled to host both the MiX and PowerFleet investor and analysts in New York next week. Senior executives from both companies are excited to present the market overview, Unity platform strategy, and AI roadmap, together with financial targets for the combined business. The event will also be webcast live and subsequently made available to investors under the Investor Relations section of our website. Paul, back over to you.
Paul Dell: Thanks Josh. Looking first at our financial results for the second fiscal quarter ended September 30th, 2023. Our total revenue of $37.8 million, grew 11.5% on a constant currency basis. Subscription revenue increased to $32.4 million, representing 86% of total revenue compared to $30.7 million or 87% of total revenue in the same year ago period. The FSM business, which we acquired in the second quarter of fiscal 2023 contributed $1.9 million in subscription revenue during the current quarter. On a constant currency basis, second quarter subscription revenue increased by 10.4% year-over-year, of which 2.9% was attributable to the FSM acquisition. Most of our revenues are derived from currencies other than the US dollar, like the South African rand and British pound. The change in foreign currency exchange rates resulted in a 4.7% decline in our reported subscription revenues this quarter. We added 47,400 subscribers during the quarter and compared to the same quarter last year, our total base increased by approximately 174,400 subscribers or 19%. The growth this quarter was primarily in our asset tracking and light fleet categories. In addition to subscription revenue growth, we are pleased to see constant currency hardware and other revenues grow 19% from the second quarter of fiscal 2023. The growth is being driven by a number of our international regions; including Brazil, Europe, Middle East and Australasia. Our gross margin in the second quarter to decreased 110 basis points to 61.6% compared to 62.7% in the same year ago quarter. Our subscription revenue margin decreased 250 basis points to 65.4% compared to 67.9% in the same year ago period and was impacted by accelerated depreciation of in-vehicle devices following the non-renewal of the energy sector customer Jos mentioned earlier. Adjusted EBITDA increased 42% to $8.5 million compared to $6 million in the year ago period. As a percentage of total revenue, adjusted EBITDA margin increased by 550 basis points year-over-year to 22.5%. Looking at our cash performance, we gained $8.5 million in net cash from operating activities and invested $6.4 million in capital expenditures, leading to free cash flow of $2.1 million compared to cash burn of $5.1 million in the prior year period. We ended the quarter with $29.5 million in cash and cash equivalents. Looking at our forecast payment schedules and investing activities, we continue to expect significant cash to be generated in the remainder of the 2024 fiscal year. Now I wanted to recap the details of our proposed business combination with PowerFleet. The combined entity will continue to operate under the PowerFleet brand umbrella utilizing their current ticker symbol PWFL on NASDAQ. In addition, the combined company plans to have a secondary listing on the JSE in South Africa to ensure that this will be a smooth transition for our South African-based shareholders. This is going to be an all-stock transaction with our shareholders exchanging 100% of the outstanding MiX ordinary shares including MiX ordinary shares represented by MiX American depository shares for consideration consisting of PowerFleet's common shares payable at closing. The number of PowerFleet’s common shares to be issued as consideration will be based on the post-transaction ownership structure, where our current MiX shareholders will own 65.5% and current PowerFleet shareholders will own 34.5% of the combined entity immediately following the closing of the transaction. The exchange ratio assumes all MiX issued ordinary shares, including those represented by MiX ADS' exchange for common shares and PowerFleet. In connection with the transaction, PowerFleet MiX are positioned to secure approximately $75 million in incremental debt, inclusive of $60 million in senior secured debt, which the companies anticipate will be fully executed at or before closing. The proceeds from the refinancing of the combined company's balance sheet will be used to redeem and full the outstanding PowerFleet convertible preferred stock held by affiliates of Abry Partners. Transaction-related expenses will be paid from cash on the balance sheet. Given the current sources of positive cash generation, we've also structured the transaction so that the go-forward PowerFleet balance sheet includes new Israeli shekel and South African rand denominated debt providing a natural FX hedge for USD-denominated investors. We continue to expect that the transaction will close in the first quarter of the calendar 2024 year. The transaction close is contingent upon shareholder votes from each respective shareholder base with MiX Telematics requiring 75% of shareholder approval and powerfully requiring a majority shareholder approval as well as other customary closing conditions. We look forward to issuing more details around the shareholder vote in due course. Before I turn the call over to the operator for Q&A, I wanted to touch on our outlook for fiscal 2024. At the combined Investor and Analyst Day next week, we plan to provide further financial details of the combined entity, which will include high-level revenue and EBITDA targets. On a stand-alone basis, we'd like to advise that the loss of the energy sector customer referenced earlier is expected to provide headwinds in the second half of the fiscal year, while we replace the revenue with new customer acquisition. We now anticipate that both constant currency organic subscription revenue and ARR growth will be in the mid-single digits, with the full year adjusted EBITDA margin approaching the mid-20s. Overall, MiX Telematics expects to continue to maintain a disciplined approach to growth with a focus on delivering strong profitability and cash flows, while progressing towards Rule of 40 performance in the medium term. This concludes our prepared remarks, and I'll now hand the call back to the operator for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Matt Pfau with William Blair. Please go ahead.
Matt Pfau: Great. Thanks for taking my questions. First, I wanted to ask on the energy customer that didn't renew, any more details that you can provide as to why that customer elected to not renew?
Stefan Joselowitz: Thanks, Matt. The primary reason is that they wanted or they want a bring-your-own device ELD solution. We don't currently have that it is on our short-term road map, but our current ELD solution requires a proprietary in-cab device, which demonstrate their current requirements.
Matt Pfau: Okay. Got it. Is this something that's unique to this customer? Are you hearing the same request from other customers as well?
Stefan Joselowitz: No, it certainly appears specific to this particular customer. Of course, there is -- as I said, it is on our short-term roadmaps. We certainly expect to launch an app-based or a fund-based ELD solution within this coming year. There are trade-offs that come with it. So it's not as robust a solution. So there are certainly significant benefits with the proprietary device. But it's certainly something that we know that we need on our product lineup and hence, we're making the investment to deliver it.
Matt Pfau: Got it. And then I wanted to ask on the light fleet segment. I think you called out some strength there. Maybe just some more details on what's driving the strength in the light fleet segment?
Stefan Joselowitz: Yeah, it's really a trend that's been apparent in our business for some time. We've got, particularly in our African operations, some new channels to market, which are reaping good rewards from the investments that we're making, and we're certainly pleased with the traction that we're seeing in building a light fleet subscriber base.
Matt Pfau: Great. Thanks guys. Appreciate it.
Stefan Joselowitz: Thanks, Matt.
Operator: [Operator Instructions] Our next question comes from Alex Sklar with Raymond James. Please go ahead.
Alex Sklar: All right. Thank you. Josh, you called out some new go-to-market efforts across Europe, LatAm and Australia. Can you just elaborate a little bit more on what you're doing there, what's incremental versus before?
Stefan Joselowitz: Thanks, Alex. It's -- what we're doing is we're seeing, as I think I've referenced on earlier calls, we've seen a strong pipeline development in most of our regions, and we are pleased with the execution that we're seeing particularly in those territories. And of course, I've already referenced strong growth in our African business. But the teams there are showing solid conversion of pipeline into committed contracts and paying subscribers. And I think the takeaway is that, we will continue and are continuing to build pipeline. But most importantly, we're continuing to convert pipeline into contracts. And that's pleasing.
Alex Sklar: All right. Great. I don't know if Paul or Josh wants to take this one, but just as you operate kind of ahead of the merger, and there's going to be a lot of the perhaps going be some different strategic priorities operating combined. But any changes in priority with MiX Telematics standalone back towards growth or should we expect a similar level of investment cadence and focus on profitability, as if you were standalone. I think I heard in the commentary, positive free cash flow to continue, but I just wasn't sure if there's anything at the margin.
Stefan Joselowitz: Yeah. Thank you. We certainly -- as you've heard from me very excited about this transaction. I think it's exactly right for our business and our stakeholders. But it's not done until it's done. So we have a regulatory approval process that we're in process with. And ultimately, our shareholders on both sides, we'll decide on the deal. In the meantime, I've stressed to my team that it's business as usual. We have to continue executing on the objectives that we set ourselves at the beginning of this fiscal year, as a standalone business and trying for as far as possible to stay extremely focused on those objectives. As you can appreciate, a transaction of this nature is distracting. And we're trying to keep as far as possible, our operational team insulated from any distractions. And so the firm message from me is business as usual, execute on our plans and continue to build our profitability and our cash flows.
Alex Sklar: All right. Great. And then maybe one last one for me, just commentary, it seems like really another strong quarter of Vision AI to cross-sell. You called out accelerating demand. Is this at all tied to any particular geos? Is it across the customer base? And then if you can just update us, like how early are we in terms of adoption of this solution?
Stefan Joselowitz: Yeah. It's pretty broad-based. So we are certainly seeing demand for our Vision AI solutions across the globe. And that's pleasing. There's no doubt we have a significant customer base that – that enables us to up-sell and we're certainly actively involved in those efforts within that base, while at the same time, working to acquire new customers. I would say in terms of where it is in the product life cycle, it's still pretty early. So our exposure to our having camera solutions within our existing customer base is still a very -- relatively a small percentage of that base, which gives us a pretty long runway of opportunity for several years to come as we're currently seeing things.
Alex Sklar: All right. Thank you all for the color.
Stefan Joselowitz: Appreciate it, Alex. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Stefan Jose for any closing remarks.
Stefan Joselowitz: Thank you, Dave. I appreciate your assistance. I would like to take this opportunity to thank everyone for listening to today's presentation. As a reminder, we are holding our joint Investor Day in New York next week. We have many exciting things to share regarding the business combination between MiX Telematics and Powerfleet, and I look forward to seeing you there. Thank you, and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.